Operator: Ladies and gentlemen, thank you for standing by and welcome to the 2020 Third Quarter Operating Results Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. This conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. The words believe, expect, anticipate, intend, estimate, may, should, could, will, plan, future, continue and other expressions that are predictions of or indicate future events and trends that do not relate to historical matters identify forward-looking statements. These forward-looking statements are based largely on our expectations or forecast of future events, can be affected by inaccurate assumptions and are subject to various business risks and known and unknown uncertainties, a number of which are beyond our control. Therefore, actual results could differ materially from the forward-looking statements made during this conference call and call participants are cautioned not to place undue reliance on such forward-looking statements. Digital Ally Incorporated will undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. A wide variety of factors could cause or contribute to such differences and could adversely impact revenues, profitability, cash flows and capital needs. There can be no assurance that the forward-looking statements made during this conference call will, in fact, transpire or prove to be accurate. I would now like to hand the call over to Mr. Stan Ross. Thank you. Please go ahead, sir.
Stan Ross: Thank you. Thanks, everybody, for joining us today for our third quarter call. Well, as I say it was what a difference a quarter makes. I know that second quarter was a little tough resolve, obviously with the country being shut down as much as it was. And things have dramatically changed. And I think that first of all, I just tell all of the employees of Digital Ally, how proud I am of them for staying focused through the last few months and being able to achieve the quarter that we just posted for you all. Today with me is Tom Heckman, the company’s CFO. And I'd like Tom to go over the numbers. And then I will go over a little bit insight what we're still seeing for the remainder of this year and what our expectations are a little bit for 2021. Tom?
Tom Heckman: Thank you, Stan. And welcome to everyone. I appreciate you joining us today. We just filed our Form 10-Q earlier today. And I would suggest everyone to go look at the 10-Q for more complete review of what happened during the quarter. And it is available now on EDGAR filings. So anyway, from a highlight standpoint, any way you look at it, the third quarter is a very good quarter for us. I view it as a turnaround quarter. You know, we had revenues up 23% year-over-year. And more importantly, we had $3.6 million in revenue for the quarter, total revenues. And that was our best showing since the first quarter of 2017 on the total revenue line. So that tells me that we're turning it around. Also, and probably even more importantly, we had our best earnings and earnings per share reported since the first quarter of 2013. So given the impact of the COVID pandemic and its effects on our law enforcement, commercial customers, reporting those kind of numbers is impressive and we're pretty proud of those.  Just to kind of go over a little bit about the effects on our main law enforcement customers, commercial customers. From a law enforcement standpoint, when you're trying to convert a new customer or upgrade an existing customer. Generally they like to have demos and install where they could use them and have time to evaluate and yet, those sort of things and obviously with the restrictions on travel and the social distancing, that's been preached out there, we have been virtually unable to do on site demos and install of upgrades and so on and so forth. So, obviously, the law enforcement revenues were constrained during the quarter. But in order to abate that we introduced a new monthly subscription plan for our in car video systems and earlier this year, we did that for body cameras. And quite frankly, they've been accepted very well, we've gotten a number of subscriptions, and we've been informed of a major subscription to expect during the rest of 2020. That would involve a full scale implementation.  So the monthly subscription model is helped abate some of the effects on our law enforcement customers. But again, with a monthly subscription model, you don't get the high hardware sale up front and revenues reported from that, rather turned it into a monthly subscription impact, mailbox money is what I call it. So we get a check every month and we get to recognize this pretty much the same revenues and maybe even a little more over an extended period of time. So we look forward to good impacts from that down the road.  From a commercial customer standpoint, what I'm talking about our major commercial customers, like the cruise lines, Royal Caribbean cruise lines, it's obviously impact that coronavirus had on the cruise lines, they've pretty much docked all their vessels. But I will report that we've been in discussions with Royal Caribbean and we expect -- they expect they expect to be able to start releasing vessels for cruises early next year, which is a good sign for us and that are on one of those monthly subscription models. And as soon as they start sailing vessels will be able to recognize that revenue and receive that income. So that's good news.  Other commercial customers, taxi cab businesses have obviously been affected in general. But I think we had a nice implementation by one of our largest taxi cab zTrip earlier this year. So they seem to be turning around a little bit. Hard hit though was our event business. And the event business is surrounded by the sport venues, the sporting events like football, Chiefs and Giants and Jepson that they've been very constrained in the number of fans that they can even allow in the venues. So our revenues from those sort of events have has been very subdued.  We're hoping that that gets improved once the vaccine is out, and things get more back to normal. I don't think it'll ever get back. Totally the normal, but I think we're looking up in 2021 for that business. So, given the headwinds we had in our law enforcement, commercial lines. That makes the recording that we did have revenues and an earnings for the quarter that much more impressive, from our standpoint. One of the big drivers for the quarter from the revenue line and the bottom line impact, of course, is our -- the acceptance of our new shield and thermal view product lines. They combined about $1.1 million of revenue in Q3. We started virtually from zero, we just picked up those lines in late second quarter like third quarter. So that's rather impressive for how new that product line is, and we do expect a continuation of the revenue generation from those new product lines, once the vaccine is out there, it will be so much to do. But I think from on an ongoing basis, this sort of product lines are going to be essential to open up the country and maintain public health the way they wanted to. Also contributing to our bottom line is a decrease of 400,000 year-over-year in our SG&A expense. That's a 12% improvement. And obviously, the restrictions on travel, and that had a good impact. But I will tell you that the insurance impact to us has been tremendous. We've been able to absorb the increase in the insurance rates and still show a 12% improvement year-over-year in SGA expense. Also reported during the quarter was a $2.3 million gain from the extinguishment of the PIA, the Proceeds Investment Agreement. And just to remind you, that is litigation financing mechanism that we entered into two years ago, two or three years ago with a provider that basically funded our litigation against both Axon and WatchGuard. During the period, you'll read about it in our 10-Q, we failed to gain any kind of approval of our appeals, and have pretty much abandoned our pursuit of Axon in the courts, unfortunate event. But the good side of that is that we were able to negotiate an extinguishment of PIA liability. And I'll remind you that we received a total of $10 million in funding. And also we had to pay another $1.25 million during the quarter to extinguish that liability. But in total, we only paid $7.25 million. So we received about almost $3 million more in funding that we -- than we were required to pay back to extinguish that liability. So that liability has gone from here forth. Other items that I want to chose on the balance sheets, we have eight -- and this is at the end of the third quarter, we have $8 million in cash and cash equivalents, we have $14.5 million of working capital and a like amount of net equity, as well, so very, very strong balance sheet. The only debt that we have, the only interest bearing debt that we had at the end of the third quarter is $1.4 billion PPP loan that we received, we were in process of applying for forgiveness of that that debt, and we believe it will be 100% forgiven based on the numbers and the documents that we pulled together for the forgiveness application. So we think that'll be gone hopefully by the end of this quarter, the December quarter, but if not, certainly by the end of the first quarter of 2021. The only remaining interest bearing debt that we'll have after that is we did get $150,000 EIDL loan, which is also part of the CARES Act, or the COVID, the 19 rescue model, as $150,000 loan and a 3.75% interest rate amortized over 30 years, I think the monthly payment was like $700, little over $700 for 30 years. So it's very manageable debt that we have on the books. And based on our liquidity, we may, in fact, go ahead and pay that off. But we haven't made that decision yet. So, again, our balance sheet is very, very strong. And it sets us up well for remainder 2020 and 2021. I will also remind you that in July of 2020, we filed a Shelf Registration Statement for 100 -- up to 125 that we see [Technical Difficulty] liquidity for our business operations, or potentially acquisitions or product line improvements. So that gives us a lot of liquidity should we decide to use it. Obviously, 2020 is wrapping up very nicely after having been hit with the COVID effects in the first half of 2020. And, as I can stand and talk more about it, but we're excited looking at the fourth quarter 2020, and on into 2021 and the reasons we're so excited is the new Shield, ThermoVU products are generating meaningful revenues already, and we see that continuing and hopefully improving in the upcoming quarters. So, we believe that that's going to become a very good product line for us and generate some good revenues with good gross margins. The COVID effects on law and commercial customers should decrease, and allow for at least normal revenue streams returned from those customer channels, especially if this so called vaccine works and is generally and widely available, as they say it might be. Looking at our balance sheet as an asset for us in the past, it's sometimes been a bit of a detriment to us and given the strong liquidity position, the working capital we have, we -- Stan and I and the board, all looking at new products to offer upgrades or additions to existing product lines, and even the acquisitions. And I'd say that the good part of the COVID process has been that there's some good companies with good product lines that have fallen on hard times, burn the COVID and maybe have attractive prices. So we're open to all that and I think Stan may even dress up a little further. So overall guys or people, I think, really thank you for your patience in the past quarters, and maybe third quarter results are just the beginning of better quarters to follow. So with that, I'll turn it back to Stan.
Stan Ross: Yes. Thanks a lot, Tom. And again, I just sort of wanted reiterate what Tom was talking about. I mean, there were still quite a bit head win in what we've seen in the third quarter, but the Shield product and product lines and ThermoVU really contributed, and just give you an idea on why we're still so excited about that particular product line and opportunities there's. We did, I'm not mistaken, it roughly $6,000 is all in the second quarter, because we just -- really just got the product complete and was able to get out there. Even in the third quarter, I know that the $1.1 million is a good number and contributed quite a bit, but you got to realize, we're really only in a little over 90 days into this new product line. And even there, you still are establishing yourself. So, you're making, create a new customers and proven product is worthy of being in their companies and in their stores, and it being utilized as a cleaning product. So, it just keeps growing on a daily basis, that we get to continue to put our product in front of different entities and very large entities are starting to take it seriously, because of the relationships and the doors that we have through, let's say, whether it be NASCAR or the NFL or the RLL race team, we really are getting some great, great, massive exposure to some very big opportunity. So, again, you got to realize that, boy, this -- the Shield product line and ThermoVU is absolute, new, new, new product in our product line. And we look for that to continue to be able to contribute and grow in these days coming. I will also tell you that we look to -- because of the success of those products, expanding that line, and very soon you'll hear us talking about additional products that are coming in there, such as electrostatic sprayers which are in great demand and will be in great demand for many years to come, as it's probably the most effective way to disinfect, or clean a room and keep kids safe, sterilizer buses, police cars, ambulances, whatever it may be. So we're thrilled about some products that we've designed along those lines, patents we've filed along those sides of the innovations and we'll continue to expand on that. And again, as Tom said, we have been put into a nice position with our balance sheet, to where some of our competitors have fallen on some tough times. It's not that they don't have good product lines or may have real good, what I want to say, extensions of our existing product line. So in other words, we don't compete head to head, but they are in somewhat the same sector. We'll have talks with them and keep looking at it. So, again, like Tom said, we're very thankful that you guys stuck with us and that we're here and we do have this opportunity going forward to continue to try to prove you worthy of going through the tough times with us and get out there and really get the stock to appreciate in value and do the right things to build a very successful company. So, that being said, we'll go ahead and open up the lines for Q&A.
Operator: [Operator Instructions] Your first question is from Bryan Lubitz with Aegis Capital.
Bryan Lubitz: Good morning, guys.
Stan Ross: Good morning, Brian.
Bryan Lubitz: Congrats on the quarter.
Stan Ross: Thank you.
Bryan Lubitz: Hopefully, it's a one of many more to come. Can you guys -- can we get any clarity on your -- you mentioned it earlier, Tom, as far as the MetLife and the Kansas City partnerships, as well as the potential for your new product lines, the Shield products as well as the ThermoVU is to be implemented there at any of those stadiums?
Tom Heckman: Well, yes, the Chiefs are actually allowing a small amount of fans in the stadium for games this year. And we have had a very minor number of units out there. So we are generating a little bit of revenue from the Chiefs. As far as I know, the MetLife Stadium is not or -- has not been using the security cameras that we anticipated. We've put this unit in a couple of other venues, including soccer stadiums and that being the ThermoVU. And that was -- its great success. So I think, obviously, when fans come back and droves are allowed into events like football games, and soccer games, and basketball games, and so on and so forth, that this ThermoVu product will be front and center, and be a key component of being able to do that. If that -- and that's what it's made for, really, I mean, it's made for high speed, large crowds coming through, it can read accurately temperatures as they walked through the turnstile. So, yes, I really believe that once the best stadiums are opened up for full scale customers and fans that will also lead to growth in the ThermoVu sales.
Stan Ross: So Bryan, this is Stan. I want to elaborate a little bit on that, obviously, the MetLife. And those guys are still utilizing when they do have an event, I'm not sure what their status is, the body cameras, but the thermal units, I want to really touch on this a little bit. I mean, we have everything from very large stadiums that are utilizing it to hair salons. I mean, it is so widely spread and been received, restaurants and venues and police stations. And I mean, we have cities buying it for all their city buildings and any access to coming in and going in, within the city buildings. We have a mapped the fire stations. I mean, I don't -- there's not a sweet spot, other than any place where there's going to be some type of gathering. I mean, businesses are buying them just for the safety of their employees. So that thermal unit is continuing to get a lot of attraction, and people are understanding it. And more importantly, and I could tell you this and you maybe familiar, but we have a one of our employees here who son went to visit in a college campus. And of course, they wanted to take his temperature. Well, they took it and have some high beatings. So they went got another one of those handheld guns and the reading was totally different. They finally went through three different guns before they say, well, this one looks acceptable enough, let's go ahead and run with this and have them come on in.  I mean, that's the inaccuracy of some of the cheaper products. And people are seeing that. And so they're going ahead and going with the higher quality thermal unit. So both do we see that the thermal device continuing to grow and get into the bigger venues. But also we will start seeing, you know, much more of the situational security with the body cameras coming into play. And that may be a scenario today where we're not only we outfitting, you know, people with body cameras, but we're there at the gates with our thermal units as well, for a particular event, whether it be a football, concert, or whatever.
Bryan Lubitz: That sounds excellent. Sounds like you guys are really excited about the product. Now, Tom, did you say you guys already have a couple of units at the Kansas City stadium? And moving forward would you guys looking to leverage those relationships with Kansas City in New York, to other cities for the NFL, et cetera?
Tom Heckman: Well, yes, let me clarify, we have body cameras on security assets out at key stadiums. So we don't at this time have ThermoVu, although we've shown it to them. And I think, obviously, the NFL is a prized customer of ours, and we'd like to push it throughout the league. But right now they're dealing with some pretty, pretty large issues. And, they're not ready to commit to that, full scale and throughout the league, because, obviously some of their stadiums aren't even allowing fans in. So there's no need for ThermoVu, if you're not having fans in the stadium. So it's kind of hit and miss right now with the NFL. I think when things kind of calmed down that obviously they would be a very, very rich target for us to go after for thermal views as well as a shield disinfectant as well.
Bryan Lubitz: Awesome. Now, moving on, you guys recently announced that you shipped your first shipment out to the military. And I'm assuming it's regarding the military contract you guys were awarded earlier this year. Can you guys talk about the potential of that contract and where you see that going as well?
Stan Ross: Yes, I mean, all's we know and the most are telling us, Bryan is that they were ready to go ahead and receive the first batch of body cameras and there may have been some if I'm not mistaken, Evo HD involved in that as well. And that I have while this is a full blown -- they've acquired the product. I think they are watching to see how well it's received and how well it works. And then they can go ahead to some of the other branches or divisions and get it expanded. That's about all they're telling us. They're being pretty tight lipped.
Tom Heckman: Yes, Bryan, understand we're on the GSA contract, we have a GSA contract and so all of the DoD, Department of Defense, whatever, the Federal Government can buy through that contract. Now, we're still pushing to get thermal view on it, as well as shield and I think once we're successful getting that on our schedule, on our contract, then that will open up a whole new host of potential customers for that, those products.
Bryan Lubitz: Awesome. And last one for me, guys. Recently, I saw through some research that you guys had acquired or leasing a warehouse here in New York, I know that your products are very well received on those you guys have said schools, hospitals, sporting events, et cetera. Is that warehouse that you guys are leasing out of here? Is that for the new product line? And obviously when I say out here, I'm talking about New York, do you guys looking to expand obviously, ocean-to-ocean, if you will?
Stan Ross: We're definitely looking going ocean-to-ocean, and the what you're seeing out there, maybe one of our distributors, Bryan, but right now we're looking at far as getting the -- as much coverage as we can, as quick as we can, we do have enough margin in the products -- with the new product line to show products and thermal that we have been entertaining, the distributors have been coming in, and some of them been coming in and sizable. Trusting products here in Kansas has done a phenomenal job of getting involved in a phenomenal job of selling to tremendous amount of schools and even have been entertaining some large state contracts. And so they'll actually inventory the product and service the product so that we can get a lot quicker and faster, broader coverage, , very soon. Again, like I said, we really only had this product a little over 90 days. The third quarter is really the only quarter that it's been able to show how well it can contribute.
Bryan Lubitz: Awesome. Well, again, guys, congrats on the quarter. We're looking for many more to come.
Stan Ross: Thanks Bryan.
Operator: Your next question is from Rommel Dionisio with Aegis Capital
Rommel Dionisio: Yes, thanks for taking my question, guys. First of all, congratulations. It's funny, a lot of companies issued a lot of press releases after COVID hit with new product, and I can't think of a sale one now that company's reporting third quarter earnings that had the kind of impact that you guys did. I mean, there's nearly a third of sales for these new products. So, that's a real testament to you guys in new product development and abilities to really rack quickly. So, a couple of questions on these new products. First of all, is it possible break down the shield versus thermal view of the 1.1 million?
Stan Ross: Yes, Actually, the ThermoVU is the lion's share of that. It’s probably around the $900,000 range with $00,000 from Shield. But, you know, Shield is a, you know, not a one time buy, it's a recurring buy, generally. And so, you know, whatever sales we have, we expect that to recur month in month out.
Rommel Dionisio: Yes, I imagine you'll gain customers for that business as well. On the -- you know, I did noticed that ThermoVU has an optional facial recognition feature as well. And obviously, it's improved facility secure, that's pretty intriguing to combine that with the temperature. Can you discuss how that -- the units use, you know, got noticed for from Kansas and -- from Linn county and some of others you're talking to. Just -- I was just curious, how many of there -- what sort of percentage of them are really strongly considering or have taken on the facial recognition, optional feature in addition to the temperature?
Stan Ross: Yes, absolutely. So basically, real quickly there's three different models and all these models have different capabilities in regards to triggers, and that trigger meaning can you open up a gate, can you open up a door, can you -- class somebody in to keep the peace -- for you know, who's coming in. There is a lot of capabilities, just manual type of stuff that you do with the card, but then they want a little higher. And that's our basic system. Let's call it -- 500, the thermo 500. The ThermoVU 600 is where the facial recognition comes into. And that has been utilized and they used it like if the sporting KC to where they want to not so much to worry about who's going in what areas. So in other words worried about a -- who's going back into engineering or, you know, into a hospital room or somewhere like that. But let me -- want to just to make sure not only are we checking your temperature, but do you have a mask on, because you have to have a mask on to have your temperature absolutely. That -- and then if you have all the above you have your mask on, your temperature is right, then you could proceed and go on through the ticketing side of things. So the facial recognition really comes into play on the ThermoVU 600. And, again, there's a lot of features there for as unlocking doors, telling you to go to the nurse's office, doing what you need to process. And then are -- the top of the line, our ThermoVU 700 is actually a unit that's permanently installed and installed in most of the time, at hallway or mainly -- a rather populated entrance, you know, where people are coming and going in, it will constantly scan those people that are coming and going that you can go as far as trying to get the facial recognition and capture, and people come and go. But I think, you know, they've been most of them -- utilizing it to make sure that -- we have a school that all of a sudden it's mid-day and kids go in the cafeteria and they pick up little Johnny is have -- running appears to be running a fever, let's go pull him out of the class and get into the nurse's office so he is not exposed to lot of people. So there's three different models. The thermo unit, the 500, obviously, because of the sophistication of it -- meaning the real need, and that is like at a restaurant or as I meant -- the hair salon or some of the basic difference, it's the hottest selling item by far right now. The 600 is right behind it. Because you're having much higher -- I would say security areas coming in through whether it be a city building, a police station or whatever, they want to make sure that the individuals that are coming in they're not only are not under the fever and possibly contagious, but also it's the right person getting access to certain areas. So that's where the 600 and then obviously the 700 being the most expensive. Its taken a little bit of time, but I'm seeing a lot more schools and hospitals in treating by gathering tools.
Rommel Dionisio: Okay. And maybe just one last one for me. I definitely see your comments in the press release on the significant foreign contract for the thousand body cams. And just then delve into that a little more is this, obviously, there's some countries that are trying to adapt the second wave, but the thing is, we're getting into winter in Northern Hemisphere anyway, is this something is this a cold weather country, this is a country that probably could be delay things for at least the next several months and just we sort of think about time of this.
Stan Ross: Yes. And I think they're still I think there's still some fear of what's going on. And so while I hope things appear to be getting a lot better, I mean, I thought -- I think it's going to be something in regards to go on into the next year for sure. And depending on the vaccine and travel restrictions and everything getting lifted, I don't see in a fourth quarter. This is a location or country that is going through initial implementation. And with that, they -- we've got to fly people down there to do the infrastructure install and all the training of their people, and they have to commit to the training and so on and so forth. So there's a lot of things working against us right now. But eventually when and if this vaccine comes out and is generally available and widely distributed, that those impediments should fall to the wayside, and especially, once we can travel people down there to install and train there, people are very hopeful that that gets back on track quickly. But I can't figure this quarter next quarter or a year from now, but I am very hopeful that it does happen sooner than later.
Rommel Dionisio: Okay. Fair enough. Congrats again on the quarter, guys. Thank you.
Stan Ross: Thank you.
Operator: Your next question is from Devin Conrad [ph] from Edible Impressions [ph].
Unidentified Analyst: Hi. Good morning guys. Congrats on your team from getting a solid positive EPS since 2013. I was waiting for you guys to talk that. I just wanted to ask quickly about the 125 on the shelf offering, I know if you had mentioned something earlier this year that you weren't going to be proceeding with that any further. How comfortable do you guys feel going into the rest of the fall and into the New Year that you won't have to exercise that or you will end up exercising some of that shelf offering?
Stan Ross: Right now, as Tom said, in regards to our balance sheet, it is extremely strong. So as far as operation side of things and with what we believe is has made a sort of a turning point within the company, we wouldn't anticipate needing to do anything concerning the shelf, we’ll keep the open that if for some reason, the acquisitions and new product developments and things that we're looking at do come into play. We're glad it's there. And again, it provided the price is right and everything makes sense. But in short, it's there, I don't want to call it a safety net, there is a tool, that assists us and identifying opportunities, and it needed help us to pull out in tackling, but right now, operations as you can see seem to be going right direction.
Tom Heckman: Yes. I would say that shelf offering is just that. It gives us instant access, should the market dictate, it's time to do it, or we have needs for it. And quite frankly, from an operating standpoint, we've got plenty of cash and plenty of working capital. So if there were to get attractive acquisition or new product line that we feel would be advantageous to jump on than that gives us the flexibility to do so. So it's really there as a backstop for operations, but we don't see that need anytime soon. And then, it's really more for not been able to pass on an opportunity when it presents itself.
Unidentified Analyst: Absolutely. Taking a look at the share price and insider trading, you guys have been able to really kind of give back to employees, and you guys are committed to the year end as well seems like you guys are pretty confident. The other thing I wanted to ask was about the research costs that you guys have kind of develop, obviously your new product line, can you explain how it kind of fluctuated with now increasing sales teams? Or how you proceed -- how you envision that going forward obviously, with new products coming out? Are you laying back on research, and I saw your sales team increase? So how you've seen that? And then the amount of police departments that are on the subscription form? I guess that's my second question.
Stan Ross: So this is Stan. In regards to the sales side of things, I'm actively looking to continue to bring on individuals to assist us, probably more on the Shield productions and the ThermoVU side than law. We've got a great reputation in law, they know who we are and do everything we can to continue to just to be in front of them, showing them our new products and making sure that we're aware of it. And remember, a lot of times when they buy something they might have some type of warranty program or subscription, so pretty content for years at a time, before they come back to you. So -- but we are actively looking on the sales side of things, regards to the commercial and clearly in the Shield products and ThermoVU. And then Tom, I'll let you address.
Tom Heckman: Yes. I would tell you on the research and development side, if you look at the projects we have taken on and what have come out, EVO was brought out last year. It's our income platform, the amount of R&D that we spend on that now is really just new feature development and backfilling some of the features that weren't completely built out. So that's pretty well done. The commercial EVO or the commercial product that's really in a box rather than in a mirror is almost done and should be available here in the fourth quarter, if not the first quarter, so that that projects nearly done. Stan mentioned the electrostatic sprayer, it's done. We're in beta test right now. And that's looking very, very good. And you're talking about timing, my gosh, with all the COVID stuff. And this is really an outstanding addition to our shield and simple view line. It goes hand in hand, especially with the shield disinfectant and that should be out here in the fourth quarter and widely available in the first quarter. So we're on a downhill slide of a lot of our major product development cycles, but that doesn't mean that we're not going to continue to do that. And we've got a good core group of engineers. We saw, we met them on an as-needed basis with outside engineering shops. So, we're getting our bang for buck on the research and development side. In terms of subscription acceptance, I will say, we've probably got 25 to 40 subscriptions out there that just came on with the introduction of the body cameras subscription program, as well as the in-car video programs. And again, I think I mentioned this, but I'll reiterate when we go to the subscription model, we don't get the big revenue bump up front from a hardware sale. Rather, we get a roughly check if you will mailbox money as we go through it. So you're not going to see a huge spike in revenues, when those things are signed, but you'll see a nice rollout of revenue through the lifecycle of the contract. And generally we're looking at anywhere from three to five year contracts for that.
Unidentified Analyst: Awesome. Appreciate your comment, obviously Q3 would be your turning point. So it's good to hear. Good day.
Tom Heckman: Thank you. Our next question is from Nadia Otivia with Integra Inc [ph].
Unidentified Analyst: Hello guys. Hello?
Tom Heckman: Hello.
Unidentified Analyst: Hi. So first of all, I would like to congratulate you for latest results. Great. And my question is, when are we expecting to see contracts with the government? And what are we expecting exactly as investors from the shares? So you're probably going to go higher or what's going to happen next? Thank you and good luck.
Tom Heckman: We continue to get inquiries. We continue to fill out bid requests and we continue to call on new opportunities with all the government agencies that are out there. And, what we try to do is, make sure that if there's anything real materials that were out there, doing a press release and trying to show the significance of it. And so hopefully, we'll be putting ourselves in a position that, and what we're trying to do every day is to show appreciation in the stock price for shareholders. And we will continue to keep our head down and do that for you all.
Tom Heckman: Yes. We can't predict stock prices, honestly. And all we can do is, try and put results up on the board. But again, this third quarter was a nice turnaround quarter for us. But that, I think Stan and I both realized and understand that that's just the beginning. We got to do this quarter-after-quarter and improve those results, quarter-after-quarter. And we're ready to do that, based on the product line that we have.
Unidentified Analyst: And where do you see the company by the end of 2021, with all the events and everything going on?
Tom Heckman: Yes. That's a great question, Depending on what transpires in regards to how quickly the country can get back to some normalcy. And we feel very, very confident that, we put the product lines and have the product lines in place, to benefit from, what I want to say the law of enforcement side of things. I mean, we have an amazing product, the bottom will have the next generation body cameras in first quarter, is coming around the corner. So I mean, as far as law of enforcement, I feel very confident. We just issued our software out there, that now allows, if they would so like, prosecutors and others to have access much easier to video that they would need to refer prosecuting and some type of things to save the mild money with in regards to time. And then the show products, I do not see this country wanting to do a step backwards and not, continuing to take a better effort of disinfecting, and cleansing, and sanitizing. And so those efforts I -- I see, for maybe years to come. So, that's a great question. If I really had a feel for, how this pandemic was going to start to wind down. I think, I could give you a little clearer insight. But it still revolves around that, and the functionality of our country and other countries getting back to some normalcy.
Unidentified Analyst: Okay. Good. Thank you so much. And good luck.
Tom Heckman: Thank you.
Operator: There are no further questions at this time. I'll turn the call back over to management for closing remarks.
Stan Ross: Listen, thanks everybody for calling in. We've taken up quite a bit of your time today. We had a very good turnout on this call. I know the call will also be up on our website. And have access to the replay. So if you do have some questions that were out there and we weren't able to answer them, feel free to give us a call. We'll do our best to answer it, if we're so permitted. And again, thank you for your little bit time for hanging with us. And we look forward to continuing to be very aggressive. And try to expand on what we've already created from this quarter on. So thank you all very much. Be safe.
Operator: Ladies and gentlemen, this concludes today's conference calls. Thank you for participating. You may now disconnect.